Operator: Good day, ladies and gentlemen. And welcome to Honeywell's Fourth Quarter Earnings Conference Call. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions]. As a reminder, this conference call is being recorded. And I would now like to introduce your host for today's conference, Mark Macaluso, Vice President of Investor Relations.
Mark Macaluso: Thanks, Eric. Good morning and welcome to Honeywell's fourth quarter 2017 earnings conference call. With me here today are President and CEO, Darius Adamczyk; and Senior Vice President and Chief Financial Officer, Tom Szlosek. As a reminder, this call and webcast, including any non-GAAP reconciliations, are available on our website at www.honeywell.com/investor. Note that elements in this presentation contain forward-looking statements that are based on our best view of the world and of our businesses as we see them today. Those elements can change and we ask that you interpret them in that light. We identify the principle risks and uncertainties that affect our performance in our Annual Report on Form 10-K and other SEC filings. This morning we will review our financial results for the fourth quarter and full year 2017, share our guidance for the first quarter of 2018, and discuss how the recent US Tax Reform impacts Honeywell. As always, we will leave time for your questions at the end. So, with that, let me turn the call over to President and CEO, Darius Adamczyk.
Darius Adamczyk: Thank you, Mark. And good morning, everyone. Honeywell delivered an exceptionally strong fourth quarter with earnings per share of $1.85, enabled by organic sales growth of 6% which reflects a renewed emphasis on the commercial excellence, revitalization of the velocity product development process and the benefits from growth investments. In 2017, we expanded our sales force in key regions and businesses and on all our sales teams the newest digital tools that are helping us win in the marketplace. We also revitalized our new product development process to ensure that the products we’re selling are delivering value to our customers. Our order rates continue to grow and our backlogs are strong as we head into 2018. Cash was a highlight as we generated 4.9 billion of free cash flow in 2017, above the high end of the guidance range. In Q4, we achieved 123% conversion which brought full year conversion to 90% or 109% excluding the effect of pension. Our efforts to improve working capital discipline are working. While I am encouraged by our progress in this area, there is still significant opportunity, in each of our businesses taking the necessary steps to improve our working capital performance. Full year earnings per share were $7.11, up 10% year-over-year. This growth excludes the impact of separations cost for spin and charges for the fourth quarter 2016 debt refinancing, pension mark-to-market and Tax Cuts and Jobs Act. Our EPS exceeded the guidance we provided in December driven by 4% organic growth and 70 basis points of margin expansion. We also continued to aggressively deploy capital for our shareowners in 2017. We increased our dividend by 12% this year which marked the 8th double-digit increase since 2010. And we bought back $1.6 billion of shares in the fourth quarter and $2.9 billion for the full year. As a company, our total shareowner return was 35% far exceeding the S&P 500 CSR of 22%. Today, we are raising our full year 2018 EPS guidance to $7.75 to $8 which reflects a lower expected tax rate as a result of the Tax Cut and Jobs Act. Tom will walk you through the Tax Reform detail later in the call. But I am pleased to announce today that our 2017 performance coupled with the anticipated benefits from this legislation has enabled us to increase our 401(k)-employer match for Honeywell employees in the US. This change represents a sustained long-term commitment to provide enhanced financial security in retirement which we believe is extremely valuable and important to employees. Honeywell remains committed to being an employer of choice. Let’s turn to slide 3 to highlight a few of our recent commercial successes. In Aerospace, United Airlines selected Honeywell avionics for its new fleet of more than 150 Boeing 737 MAX airplanes. The flight deck package will include a first ever installment of Honeywell’s SmartRunway and SmartLanding on a Boeing 737 MAX and will feature Honeywell’s integrated multi-mode receiver and IntuVue Weather Radar System which can enable connected radar out of our connected aircraft offering, allowing Honeywell to download weather hazard data and provide pilots and dispatchers immediate information through the GoDirect weather app. Honeywell solutions work in tandem to greatly improve passenger safety and comfort during takeoff, landing and potentially hazardous weather conditions. We are excited about our continued partnership with United Airlines. In Home and Building Technologies, Honeywell designed a new contemporary and state-of-the-art connected home solution and we signed a long-term agreement with ADT, a leading provider of security and automation solutions in United States and Canada to sell it exclusively through ADT's direct and professional dealer network. The solution includes securities, smoke detection, carbon monoxide detection, innovative long range in battery, operate motion viewers and home automation in core price of ADT's and Honeywell's user experience. We are excited to continue our long-term partnership with ADT providing our customers the most innovative products for their connected home. In performance matures and technologies, Honeywell process solutions leverage connected plan offerings to position Honeywell as a specialized software and industrial partner, ultimately winning three strategic projects with Kuwait Oil Company to enhance crude production in the Southeast Kuwait fields. Honeywell provides software and services to help KOC Visualize and Optimize the production and operations in the field and will supply an integrated control and safety system based on our experienced PKS and safety manager technology for gathering station. This project enhances the capacity and capability of the existing facility in East Kuwait to manage excess water while keeping crude production at the facility's designated capacity. In safety and productivity solutions, we achieved major wins with two global packaged delivery companies to provide more than 100,000 Android based handheld computers that will aid in delivery operations. We're seeing strong adoption of our new Android based offerings and have significant new launches planned for early this year that will drive growth for the productivity products business in the second half of the year. A number of these technologies we have in display in our Annual Investor Conference which will take place on February 28 at Honeywell's Headquarters in Morris Plains, Jersey. And looking forward to talking to you more about our progress there. With that, I'd like to turn the call over to Tom, who will discuss our financials.
Thomas Szlosek: Thanks Darius, good morning. I'm on slide 4. As Darius mentioned we achieved 6% organic sales growth this quarter tapping off a very strong year. Our growth improved sequentially every quarter in 2017 starting with 2% in the first quarter. This is a reflection of the investments we've made in the sales organization, the M&A that we've done, our capacity expansions and new product development coupled with an improved economic environment in many of our end markets. We generated more than $2 billion in segment profit in the fourth quarter through our continued focus on effective selling and operational excellence. We've experienced strong volumes primarily in aerospace and safety and productivity solutions. Our margin rate increased by 30 basis points and 19.3% stronger than we previewed in December primarily due to stronger than anticipated demand in the air transport and regional aftermarket. Earnings per share was a penny better than our preview in December includes a $0.19 contribution from segment profit. Our tax planning actions drove a lower than planned tax rate for the fourth quarter of 16.5%. Now this is before the impact of the tax cuts and Job Act. The lower tax rate and lower share count driven by the share repurchase activity Darius mentioned, combined for $0.22 benefit, which was more than offset by restructuring and other progress reported in the quarter, which was a $0.30 headwind. We funded $150 million attractive restructuring projects disclosed that will improve our cost structure, drive further productivity and address the potential residual cost that would otherwise results in the upcoming spin transaction. On a reported basis, we had a loss per share of $3.18 driven by the impact of the 3.8 billion TCJA charge. That reported loss also includes an 87 million pre-tax pension mark-to-market adjustment from really related to discount rate and 16 million in pre-tax spin related separation costs. Our free cash flow in the fourth quarter was very strong at 1.8 billion or 123% conversion or in the early stages of our working capital initiatives, but we’re encouraged by the progress so far and more importantly by the opportunities that we intend to pursue in 2018. Overall, another strong performance with high quality earnings to cap off a great year. Let’s turn to slide 5 to discuss our segment results for the fourth quarter. Starting with aerospace sales were up 5% organically, 2 percentage points above the high-end of our sales guidance. In commercial OE, we saw improved air transport deliveries on key platforms including the Airbus A320 and A330 and Boeing 737 and the benefit of lower OEM customer incentives, partially offset by slow demand in business jets as expected. Grocery and aftermarket was stronger than anticipated driven primarily by air transport, repair and overhaul activities and sales of spares in business aviation. In defense, we saw continued strength in U.S. core defense driven by spares demand and deliveries on the F-35 and apache platforms. In transformation system we saw robust demand in commercial vehicles across all regions and continued growth in light vehicle gas turbos in China and South Korea. Aerospace margins were up 270 basis points driven primarily by higher volumes, productivity, net of inflation slightly more modest OEM customer incentives and commercial excellence. Aerospace margin performance was well ahead of our expectations. In home and building technologies organic sales growth was 3% for the quarter. As a reminder, we realigned the smart energy business from HPT into the PMT in the fourth quarter. So, the HPT results for this quarter and going forward now excludes smart energy. Organic growth and products of 2% was driven primarily by the commercial fire business and environmental and energy solutions in Europe. There was continued strength in global distribution particularly in the fire vertical. Our businesses in China grew high-single-digits with strengthen all of the HPT businesses. HPT segment margins contracted 40 basis points driven by lower residential security volumes, investments for growth and a different regional mix. In performance materials and technologies, sales are up 9% on an organic basis, driven by growth across UOP, process solutions and advanced materials that’s the entire PMT portfolio. In UOP, there was strong demand for our modular equipment, strong initial catalyst loads in the Middle East and significant growth from natural gas project wins at UOP Russell in Russia and in North America. Growth in the short cycle businesses with an HPS continued to be strong with significant demand for thermal solutions and field instruments. In advance materials, we again achieved double-digit organic sales growth feel primarily by sales this, low global warming refrigerant for mobile air conditioning. PMT segment margins contracted 180 basis points in the quarter primarily driven by the unplanned, plant outage we flagged in November and a different year-over-year mix of sales in UOP. The lower margin performance is also in product due to integration of smart energy, which was not contemplated in our original fourth quarter guidance. In Safety and Productivity Solutions, sales were up 12% on an organic basis exceeding the guidance we provided in October driven by another strong quarter at Intelligrated building on the robust orders and backlog growth throughout 2017. We had a significant increase in retail business sales as our direct selling strategy matured as well as continued strength in China. There was also a robust growth in the safety business as refinery maintenance resumed driving demand for our entire range of safety products and continued strong demand for our legacy sensing controls and workflow solutions, including solutions provided by vocal act and mobilizer. The mobility business remains soft though we secured large orders, several large orders for our new Android based products which Darius mentioned. As a result, strong volumes in SPS, margins expanded 140 basis points also exceeding the high end of our guidance, helped further by the benefits from ongoing productivity efforts and from previously funded repositioning. I'm now on slide 6. I'll be very brief on this slide as we discuss each of these measures previously. What this slide does is it takes us back to the original 2017 guidance in comparison to the final results. For all categories, the final outcome met or exceeded the original guidance. So, the due matches are say in Honeywells and [indiscernible] also not included on the slide are long cycle orders and backlog. Those results were also impressive each growing double digit in 2017. Let's move to slide 7 to discuss the recent U.S. tax reform and its impact on Honeywell's 2018 financials. Honeywell has long been a proponent of corporate tax reform that will enable us to compete more effectively on a global basis and to enjoy efficient and unencumbered movement of our capital. On December 22, as you know, the U.S. Tax Cuts and Jobs Act passed. The legislation significantly revises the U.S. corporate income tax. By lowering corporate income tax rates, implementing the territorial tax system and imposing repatriation tax on deemed repatriated earnings of foreign subsidiaries. The result of the legislation we recorded a $3.8 billion provisional charge in the fourth quarter, comprising of three elements. The first is a mandatory transition tax or deemed repatriation charge on the $20 billion of previously unremitted earnings of our foreign subsidiaries. This non-cash charge was recorded entirely in the fourth quarter of 2017, but as we paid over 8-year period in accordance with the legislation. The second element is also a non-cash charge, it's a deferred tax liability adjustment favorable in this case to reflect the impact of the lower U.S. corporate tax rate on our deferred tax balances. The third element also a non-cash charge is for the implementation of the territorial tax system including holding and local taxes associated with the future repatriation of cash back to the U.S. These taxes will generally be paid as the cash is patriated. This portion of the aggregate charge reflects the tax structures we have in place today as is required by the accounting rules and does not anticipate the benefit we would realize from future tax planning. It's only been a month since the tax reform passed and further guidance continues to flow clarifying the legislation. Our accounting reflects our best estimate using the current information we have available to us and the amount of the provisional charge maybe adjusted over the course of 2018 as things become clear. We will update you on the changes if any to the amount of the charge to our effective tax rate and to other provisions of the tax legislation which are material to Honeywell. At our upcoming Investor Day, we will also update you more completely on the cash repatriation opportunities that we have as well as on our expectations for the use of those repatriation proceeds. Preliminarily we expect that at least $7 billion of the 10 [technical difficulty] held by our foreign subsidiaries can be repatriated in the next two years. And of course, we will continue to generate overseas cash which will add to that pool of potential repatriation. But there is still expansive tax announces and planning to be done to ensure we execute repatriation in the most efficient manner. This new global mobility of our cash allows us to continue investing in our businesses in the US, to pay a competitive dividend, to more aggressively seek out M&A, particularly in the US, and to repurchase our own shares. Our preference is for attractive bolt-on acquisitions in our core markets. But to the extent M&A opportunities do not materialize, we will gradually accelerate share repurchases as we did in 2017. Looking at 2018, as a result of reduction in the US corporate tax rate, our effective tax rate is now expected to be between 22% and 23% versus our normal 25% to 26% historical rate. Given the uncertainty that still remains around the implementation of Tax Reform and the extent of the analysis still to be done, we are conservatively assuming a tax rate of 23%, our guide, which increases our 2018 EPS guidance range by $0.20 to a new range of $7.75 to $8 per share, an increase of 9% to 13% from 2017. So as Darius and I mentioned we’re pleased with the new legislation, particularly in the mobility of capital and global competitiveness it provides to Honeywell and to our shareholders. Let’s discuss our expectations for the first quarter on slide 8. We exited the year with strong order rate and from backlogs that we expect will drive a continued acceleration in organic sales growth every quarter in 2018. Segment margins are expected to expand 30 to 60 basis points driven by volume leverage, commercial excellence and productivity net of inflation, leading to earnings per share of $1.87 to $1.93 or growth of 9% to 13%. This is based on an estimated first quarter tax rate between 22% and 23%. As we previewed in the December outlook call, the guidance for the first quarter and full year exclude costs related to home and Transportation Systems spin-offs and adjustments if any to the fourth quarter provision for the tax legislation. Starting with Aerospace, we expect sales to increase in the low single-digit range organically. Our air transport OE business will be impacted by fewer deliveries on Boeing 777 and a decrease in production rate at certain regional OEMs, partially offset by increased A350 deliveries. On the business aviation side, we expect organic sales to improve as production rates increase across most of our OEM customers, offset by higher OEM customer incentives. In the after-market, we expect to see strong spare sales with airlines across Americas and Asia Pac and demand in maintenance service plant in business aviation. For defense, a very similar story in the recent quarters with growth buoyed by demand in US defense, partially offset by declines in space. In transportation systems, we expect continued light vehicle gas turbo penetration across most of region, particularly in China, North America and Europe as well as continue momentum in the commercial vehicle segment. And the Home and Building Technology sales will be slightly up. We expect continued strength in Global Distribution, the commercial part of business and our businesses in China. We see improving order pipelines in our main products businesses offset by weaker volumes in residential security in the US. In building solutions, growth will modest as the robust high growth region activity is offset by slower activity on large installed and service projects in the Americas region. As we progress through our planning for the spin-offs, we have reorganized home and building technologies to better align with how the segment will operate going forward. So instead of showing you results from products and distribution we will start reporting on results in the two new reorganized business units home and buildings. This will be effective when we release first quarter earnings. Moving to performance materials and technology, sales are expected to be up low to mid-single-digit on an organic basis driven by continued conversion of our strong backlog. Entering 2018, PMT loan cycle backlogs are up 8% from 2017. In process solutions, we also expect continued demand for our short cycle software and service offerings and field and instrumentation products. In UOP, we expect significant catalyst deliveries for new units in China, as well as sustained equipment and engineering growth. [Indiscernible] growth and advanced materials is expected to continue. Although, there are tougher year-over-year comparisons in the first quarter. Finally, in safety and productivity solutions we expect sales in the mid-single-digit range organically driven primarily by large project wins at Intelligrated and strong orders demand exiting the year in sensing and IoT and workflow solutions including for mobilizers cloud service application. In safety, we expect growth across the gas vertical in China and all lines of business in the Americas as a result of our new product launches, sales investments and improved market conditions. We also expect improvement in the retail business. On a regional basis, the SPS China business is expected to grow more than 10% driven by sensing in IoT, safety and productivity products in the region. Let’s turn to slide 9, I want to talk about a revised full year guidance. We’ve updated our full year margin guidance to reflect our stronger than expected performance in 2017. Full year second margin is now expected to be between 19.3% and 19.6%. This reflects 30 to 60 basis points expansion, which is consistent with what we said in December. These segments had been updated accordingly. We’ve also updated our earnings per share guidance as Darius mentioned reflect a lower anticipated full year effective tax rate between 22% and 23% due to the tax legislation. Full year EPS is now expected to be $7.75 to $8, up 9% to 13% year-over-year excluding separation costs to fourth quarter 2017 charge related to the tax reform and any 2018 adjustments for that charge. I am going to wrap up on slide 10. Fourth quarter was an outstanding finish to 2017. We achieved strong sales growth, continued margin expansion double-digit earnings growth and exceptional free cash flow conversion. At the same time, we continued on our aggressive capital deployment with more than a 1.5 billion in share repurchases in the quarter and $2.9 billion for the full year. We also funded more than $350 million in restructuring in 2017, which is helping us to proactively address standard costs ahead of our two-plant spin-off. Those spin-offs remain on track for completion by the end of this year. We’re also pleased with the passage of U.S. tax reform and we raised our 2018 EPS guidance by $0.20 as a result. We believe that the tax reform will provide a sustainable long-term benefit to Honeywell, not a single quick hit. In the same light, we believe that the benefit that we share with our work associate should also be a sustainable long-term benefit, so we’ve chosen an ongoing mechanism, it will benefit and now and in the years to come throughout their retirement. That is an increase for the employee matching contribution in our U.S. 401(k) plan. Our strong order rates and increased backlog heading into 2018 give us confidence in our first quarter guidance. We’re well positioned for continued outperformance in 2018. With that, Mark. Let's move to Q&A.
Mark Macaluso: Thanks, Tom. Darius and Tom are now available for answering your questions. So, Gary if you could please open the line for Q&A.
Operator: Absolutely. The floor is now open for questions. [Operator Instructions]. Thank you. Our first question is coming from Jeff Sprague with Vertical Research. Please go ahead.
Jeff Sprague: Just a couple of things. First, I just wondered if you could elaborate a little bit more aero margin it was very strong. Was there any unusual timing and incentives or program close outs or anything like that? First question.
Darius Adamczyk: I wouldn't say there is anything unusual. We obviously had a very favorable mix as reflected by the commercial aftermarket. And that was probably a little bit even more favorable than we had anticipated. But I wouldn’t say there is any kind of onetime charges other than the impact of a more favorable mix of business than we had originally projected. That's really the function.
Thomas Szlosek: Yeah you might be thinking about an incentive comp Jeff. But the 270-basis points expansion most of that was the combination of the volume mix and productivity that we generated. I think the incentives were probably 0.5 of the 270, so small piece of that.
Jeff Sprague: Okay, great. And then just to trying to kind of wrap up just the cash flow outlook overall. Could you just update us on what you're thinking about CapEx as pension income moved around at all here at year-end? And does the outlook you anticipate any additional share repurchase in 2018 at this point?
Darius Adamczyk: Yeah, I mean starting with the CapEx, Jeff. I mean we've been peaking in 14 to 16 north of $1.1 billion or so. That will be down in the $900 million range or less in 2018 and will continue to go down. We've got continued emphasis on our working capital, hoping to get another half a point of working capital terms. [Indiscernible] toolset is helping us with that. On pensions, the plan is at the end of the year was funded close to 105%, right now it's funded probably 110% or more. So those assets are driving more income if you can believe that. But from a cash perspective it is non-event with the plants fully funded, there are no contributions for the foreseeable future we think that's in pretty good shape. And we'll continue to drive the conversion. I mean our cash conversion in 2016 was 86%. We told you we're trying to move towards a 100%, we hit 90% in 2017. And we think prospects are good to drive that further in '18.
Thomas Szlosek: Yeah. And Jeff it's kind of reflected in the cash guidance for 2018. I think even if you only take this midpoint of our guidance it’s a fairly healthy increase and as we discussed at length last year, we're going to continue to make progress on cash generation and cash conversion. Just like we showed in 2017, we've reached magical 90% level and that’s kind of where we want as a starting point.
Jeff Sprague: Great. And share repurchase, and I’ll cede the floor. Thank you.
Darius Adamczyk: Yes, and share repurchase Jeff, right now, the plan is to do what we normally do as I said. So, we will be offsetting any dilution that comes up as a result of option exercises and contributions of employee benefit plans. But as I also talked about on the repatriation, there’s an opportunity materializing and the timing is -- needs to be further analyzed. Our priorities overall remain the same and we prefer to prioritize bolt-on acquisitions that can be accretive to our businesses. But like in 2017 when the market was a bit more frothy for us in terms of opportunities we chose to deploy it towards share repurchase we did, a 1.5 billion in the fourth quarter alone, 2.9 billion for the full year. And we were able to take the share count down for the year over 2%. So that’s the kind of approach that we’ll continue to head into the year with.
Operator: Thank you. Our next question comes from John Inch with Deutsche Bank.
John Inch : Thank you. Good morning, everyone. Good morning, guys. So, can we start with the core volumes, so you gave the update on December 13th, Tom you thought core growth will be 7 to 8, it’s 6. But your numbers are solid with great cash flow. And I guess my question is, did something happen at the end of the year like with December normally at the very end, cause the core growth expectations to shift lower kind of by 1.5?
Thomas Szlosek: No, I mean as you can imagine fourth quarter is a big volume quarter for our businesses. Aerospace in particular, you have a lot of OEM customers and we’re kind of partnering with them to meet their delivery schedules. Those change. And sometimes they -- their deliveries push out which was the case for Aerospace, most of that slight moderation of growth rate was due to Aerospace OEM. But as you saw the growth in aero and Honeywell for the fourth quarter organically was still very strong and we had better mix in Aerospace at the after-market as I said.
John Inch : Yes, so aero was the primary factor then, that's the message.
Thomas Szlosek: A little bit in -- look, a little bit in PMT as well, lower margin stuff in PMT. But no trends per say, more binary kinds of things either large transactions in most cases.
John Inch : The shift from Windows to Android, you guys have called out increasing traction right in terms of orders, how does that dynamic work? Are you still selling the Windows based products, you have to write-down inventory, what’s actually going on here? I am trying to understand how that prospectively impacts the financials probably in your margins I am assuming in 2018 for that segment?
Thomas Szlosek: Yes, I mean we’re selling both types of products, and as a matter of fact. The majority of the installed based in productivity products is still most of the software is still written in Windows based code. So, we foresee continuing robust sales on the Windows product offering. But as we discussed on multiple calls, last year, Android is becoming a much more prominent part of our portfolio offering. We have launched some new products in Q4. We launched some in Q2. And then we have a pretty big launch coming up here also in Q1. The great news for us as we highlighted in the announcement is we’ve already secured some major wins with these new offerings that are Android based. So, it gives me a lot more confidence around the future of the products business. But rest assured Microsoft page mobility offerings, we’re still selling those fairly aggressively and they still make-up more than 50% of our sales.
John Inch : And is the customer Darius, right that incurs, if they want to shift from Windows to Android, it's their problem, it's not as if Honeywell is somehow on the hook to pay migration costs or something like that. Right?
Darius Adamczyk: Yes. Exactly. They have to convert their software from Microsoft based to Android based. And we’re offering our customers a choice, some of them are making that conversion others are maintaining their current platforms.
John Inch : And cash was very strong in the fourth quarter despite obviously the business putting up very robust growth. How do you manage the ’18 cash in terms of growth and acceleration in the economy and the demands in working capital, but then trying to get working out of the system? I guess, I understand you want to keep a conservative guide, but do you think there is upside to cash given the backdrop of kind of macro improvement or was do a little bit of anomaly in the fourth quarter given how strong it was?
Darius Adamczyk: John, I’m going to optimist. So, I always believe there is upside, but I think there is a couple of factors going first. Number first is working capital has been a point of emphasis, we saw, we had our senior leadership meeting shake-up already in January and I can tell you, it was one of the two major, major highlights that we talk about. Number two is Tom talked about the reduction in CapEx and I think it’s important to note we’re not constraining CapEx, it’s just that we have gone through a fairly substantial investment cycle. And we just see that waning a bit, but if we see great projects we’re going to continue to invest. But nevertheless, we anticipate that CapEx never being lower this year and even potentially next year. And then three is just it will be, we’re looking at all these working capital levers and all the businesses have, what I called pretty aggressive targets in terms of working capital. But then also last thing to add is, we’re still assessing a lot of these moving pieces when it comes to the new tax legislation. Particularly as it relates to cash taxes, because as you know, we have kind of 8 years to payback, that one-time fee. So that’s offset somewhat by the reduction. So, we still had some work to do in terms of the overall impact for the year and Tom and and his team have been working through all those details.
John Inch : Got it. One last one, as inflation Darius, comes back into the U.S. economy, how are you thinking about managing the company in terms of say pricing, the trade-up between pricing and costs that sort of thing?
Darius Adamczyk: No. That’s a good question, because that can be a very, very dangerous phenomenon. I can tell you that every one of the SPGs and that’s something we already implemented last year, they’re really watching their inflation in the impact on their product costs. And I am very confident in saying that all of our businesses have a very good process to monitor that inflation of products and making sure that they’re passing that through to the marketplace. And frankly, the inflationary environment for our goods, it’s not new, it’s really been in place last year as well, particularly in second half. So, we’ve been watching that one carefully and for the processes in to make sure that we monitor proactively.
Operator: Our next question comes from Steve Tusa with JPMorgan.
Steve Tusa: So just to follow up on John's question on cash flow just to be clear. You raised your net income guidance to reflect the tax rate but you are basically not raising the cash number because of the uncertainties around the cash going out the door on the transition. Is that kind of how we should read the lack of guide on raise on free cash?
Darius Adamczyk: Yeah. I mean our original guide that we gave you in December Steve was under the provides [ph] of the old law. And every year we anticipate some cash benefit from the tax planning that we do. In fact, in 2017 we did realize some benefits there. So, it's not as this we had just taken the -- put off the breaks on tax planning and the cash management around tax planning in that original guide. When you look at 2018, there will be some benefit certainly on the U.S. side from that lower cash tax rate. But it's offset by the payment of the mandatory toll charge. And we need to continue to study the developments in legislation before we step out and say it's going to be a huge impact. I mean the guide range that we gave was fairly wide in any case from 5.2 to 5.9. So, I think we're still comfortable this early point sticking to that range. As you know we had substantial overseas cash and retained earnings. So at least for the next 8 years that is going to be a bit of a cash drag because we got to take that onetime tax hit.
Steve Tusa: Yeah okay. And just on the EPS guide. A little bit of a higher kind of operating base and you guys clearly beat up [ph] this quarter. I think you tweaked up your margin assumptions yet you are and I think share count is coming out a little bit lower than we expected exiting the year. You're only waiting for the incremental tax benefits. Is there something else that's kind of below the line or anything else we have to be aware of, anything you're concerned about that has slowed down as to why the raise wasn't a flow a little more through there? Or just building a little bit more contingency and hedging in the plan?
Darius Adamczyk: So, I think not a lot has changed since December. I mean we actually expected a more robust fourth quarter as we said earlier from a top-line perspective. And so overall, the momentum in each of the businesses is strong and we expect that to continue. And maybe there will be some upside on the top-line, but in terms of things that we're -- the large things that we're concerned with we haven't articulated, there is nothing about source here. Most of the assumptions we talked about in December are still intact.
Thomas Szlosek: Yeah and Steve just to maybe to add on to it. I mean first of all as you know 60% of our business is short cycle versus longer cycle. And we're in New Year [ph] so it's I think only on the year it's best to be prudent and just really a little bit more on the caution side to really see how the business evolves. But having said that I can tell you that I'm a lot more bullish on the year heading '17 into '18 versus '16 into '17. I think the comps are a little bit tougher. But nevertheless, as I look across the entire business portfolio, I can't think of a single business where I would view as a down arrow versus '17. So overall things look good. But we have to see and see that the business materializes and comes through on the P&L, I think first quarter we will see how things go and after that we’ll back to discuss it with you and see what adjustments we need to make for the year.
Steve Tusa: Okay. One last one in you March investor meeting, can you just may be described -- not what the targets are going to be, but are you going to give kind of a refreshed longer-term view financially? Just asking about kind of framework and format, how you guys are going to approach that?
Darius Adamczyk: Yes, I mean I kind of feel like I did that last year, kind of the low to mid-single-digit, 30 to 50 that kind of range. I think we’ll probably -- just to give you a little bit of a preview, I think you should expect to see something in that similar range going forward. But yes, we will give a refresh on that outlook. And I don’t know if it’s going to be as precise as laying out every year because you’re not going to get out four, five years, I think it’s a little bit more unknown and we go through a recession or something you end up kind of not looking so smart. But I think the kind of framework that provided last year’s margin will be kind of should be your expectation for this year.
Operator: Thank you. Our next question comes from Steven Winoker with UBS.
Steven Winoker: Hi, thanks. And good morning, guys. Close enough, right, I’ve been called worse things. So, Darius, may be just talk a little bit about the key messages and the difference for managers, the HS element, the leadership meeting that you just had, I know you mentioned CAD. But just a little more on sort of how you’re kind of trying to steer the ship and give folks priorities as they think about 2018?
Darius Adamczyk: No, first of all, the key message was that I thank them for a really nice 2017. I think we had a very nice year across the board and I think it was a good time to recognize the kind of outstanding effort that the team contributed. So that was sort of first key message. In terms of priorities for 2018, I’d say two or threefold. Number one, working capital, I talked about that. We want to drive free cash flow. We want to drive free cash flow conversion. I just want to emphasize too that this is sort of where a very healthy and well-funded pension plan is actually hurting us from a cash flow conversion perspective. And I always emphasized that because somehow, it’s forgotten. The second point is software and software not just in our connected enterprise, in our connected -- but really the incorporation of software into anything and everything we do. So, software and the sensors strategy for any and all products that Honeywell launches. And the third one was much more about innovation, making sure that we leverage the latest and greatest technologies are available in the marketplace today, and making sure that those are reflected in our NPD pipelines and so on. And then the last one is that we kind of had a bit of a -- we have different behaviors that we’re trying to incorporate in the company and reemphasize leveraging and exhibiting those behaviors in everything we do. So those were some of the key messages from our senior leadership meeting.
Steven Winoker: That’s helpful. And then secondly, as you think about the kind of follow-on effects of Tax Reform for your customer base and their decisions about how to spend that money and whether or not that kind of works its way back to your own growth rate and your own decisions even. What -- I am really seeing kind of the mixed messages out there from corporate in terms of what they see in their own customer base kind of considering additional spending that’s just sort of macro related versus maybe tax related and not sort it matters. But maybe a few thoughts on that, it’s potential for acceleration?
Darius Adamczyk: I think for us undoubtedly, this is a very constructive outcome, I mean we were supportive of tax reform, we’re very pleased with what ended up happening, I think it’s going to be good for U.S. business. For us, certainly see a much greater level bullishness on the part of our customers, which should translate to continued investment. And you’re right, their CapEx is our revenue and we do expect some level of investments to accelerate. Now, I think it’s a little bit early and I think we sometimes forget that the details of this are still becoming clear, it’s only 30 days old and what the implications are for us. I mean for us, we’ve been bullishly investing in the U.S. already. I mean, if you think about our elevated CapEx that’s been in place for the last two to three years, a lot of that investment went into manufacturing jobs, particularly states like Louisiana and others. In addition, we’re aggressively hiring a lot of software engineers, particularly in our Atlanta COE and we’re going to continue to do that. So, we haven’t and we’ll continue invest in the U.S. Now this is longer term as we assess further investments with this, does this make U.S. more appealing place to invest? Absolutely, we think that this makes the U.S. a much more appealing place to invest and as we may contemplate further investment. U.S. will be near the top of the list.
Thomas Szlosek: Just add a little color on that. When you look at the momentum that we have in the U.S., overall, we closed the year 3% organic growth or so in region. But it was the fourth quarter that was pushing close to double-digit. So, I think there was some anticipation of what was coming possibly and we’ll see how that goes. I mean so far, so good at this early point and in January as we look forward. But it’s hard to make that direct connection between the benefits from the legislation including expensing in the CapEx and our order rates, but we’re looking forward for sure.
Operator: Our next question comes from Andrew Kaplowitz with Citi.
Andrew Kaplowitz : We know you have more difficult growth comparison scenario moving forward. But you did 5% growth in 4Q and you averaged over four in the second half of the year. We heard some more positive commentary on business jets, you guys have talked about potential turn for the end of this year and next year. So how do you look at the business at this point is. The 1 to 3, I am sure there is some conservatism for the usual suspects like space and maybe TS. But is the overall environment actually still getting better would you say and ask this?
Darius Adamczyk: Yes. I think as we discussed, we think the environment is still getting better. But I think what is also important to know is that, we’re coming off a much stronger year ’17 than a weaker year, which is ’16. So all-in-all, we’re still very bullish and I’m very excited about our prospects, more excited than going into ’17. But nevertheless, the baseline is a little bit different in terms of specific for your question on aerospace. Yes, I think the framework there on the business jets is similar to we’ve been saying. We expect some level of acceleration, but more likely in the second half of ’18 not early, particularly some of the new platforms we're launching and deliveries taking place. So that's a cautious optimism reflected in the growth rates for probably more later rather than sooner given the year.
Andrew Kaplowitz : Appreciate that. And then you mentioned that you're seeing short cycle growth in profit solutions. In December you suggested you really haven't seen any evidence of bigger projects coming back. But you guys say the same thing that we do tax reform and [indiscernible] being very high. Do you have any implication that larger projects could begin to come back, are you seeing any signs of them yet as you sit here today?
Darius Adamczyk: Yeah. I mean I think overall, our pipelines are very strong. I think you have to remember that our PMT backlog is up 10% on a year-over-year basis. And we had positive orders growth in both UOP and HPS in Q4. But I would tell you also the pipeline and the project pipeline are strong. And I think what's important in terms of the price of oil is sustainability is that we don't like to see is it bouncing around. So, to the extent that it stays at this level is right around is a very healthy environment for investment. So as long as this is sustained I become that much more bullish on our outlook in PMT particularly UOP and HPS.
Operator: Thank you. Our next question comes from Scott Davis with Melius Research.
Scott Davis: I asked this question a couple other corps, I haven't really gotten an answer that seems helpful yet. And I'll throw to you guys, I mean this new Tax Act thing, seems to have somewhat made it simpler to do tax planning globally. That maybe creates an opportunity for you guys unwind some structures that were created in the past that whether it's supply chain related or otherwise. Is there a cost benefit at all from the simplification? I mean you guys probably have like 700 different corporate entities something crazy like that right. So is there any chance you can unwind some that stuff.
Darius Adamczyk: That’s an inside information now. Scott, I think it's funny. You can see us in the room I am actually smiling at [indiscernible] Because that's actually -- I think your point is spot on. I mean I think -- what I think is underestimated today's is there is an opportunity to simplify a lot of our legal entities. That is an effort that actually we've already launched and is leading that effort. But I also think that something has underestimated the level of complexity in this new tax structure in terms of versus where we're going versus where we are today. So, I applaud the new tax code and we think it's extremely helpful for U.S. business. But it will require us to restructure ourselves and we do believe that new structure long term will be simplified, will cost us less, will make a lot easier to do business. Can I quantify that for you right now? I can't. because we literally just started out work a couple of weeks ago. But I do anticipate there will be a source of value for Honeywell and our shareholders.
Scott Davis: Okay good. That's the only good answer I've gotten so far. So, thanks for that. I wanted to ask about business jets in the context of this tax act too. And then you know the money is coming back and it doesn't seem like anybody has brought a business jet in a while. I mean you guys have always had really good forecasters, who were known for long time as being the best source for the business jet forecast. What are your guides saying and if you on this earlier, and I missed it, when I went out for coffee sorry? But what are you guide saying as far as the potential impact on guys having a few extra bucks around buying some planes?
Darius Adamczyk: Yes, I think probably the right answer is, it’s a little bit too early to tell because we would like to see that reflected in kind of the order rates on the part of our business jet customers. But one would have to believe that this should have a positive impact on the overall demand. I think from now we are kind of sticking what we said before is that we anticipate some uptick in the second half of this year and stronger environment in 2019. But like I said I think it’s just a little bit too early to tell the real impact, the new tax code is 30 days old and difficult to project at this point the impact it has. But sort of logically tell you, it should be an up arrow for us.
Thomas Szlosek: Yes, the only other thing we have going with is the mandates and some of the software after-market offerings that we do on the business jet side. So, we might not be clicking away at the double-digits, we certainly are getting new technology investments for existing platforms.
Operator: Our next question comes from Gautam Khanna with Cowen & Company.
Gautam Khanna: Yes, thanks. Good morning, guys. Two questions. First, I just wanted to ask, given Tax Reform, how does it change if at all the profile of the types of acquisitions you are looking at? Does it encourage you to go bigger? Does it do anything to the criteria that you’ve set out earlier?
Thomas Szlosek: I don’t know if that dramatically changes it. I think given what our -- may be the only thing that’s certainly very helpful for us is the ability to bring back some more cash in the US, it certainly makes US based acquisitions a bit easier to execute because now we have got more access to cash. But in terms of focus or I think our financial metrics are set up such that the hurdles are that --- adjustment in the tax rates will be reflected in the financial metrics we look at. So, does it dramatically change the calculus? I am not sure. Other than we will have more fire power in the US, which is important and it’s important to have that kind of flexibility.
Darius Adamczyk: Yes, I would add to that though that we have not really been constrained in where we’re looking like, our M&A team and the businesses haven’t been saying well let’s not look into US as we don’t have cash as we’ve always able to accommodate that with our capital structure and that will be -- continue to be the case even more so now.
Gautam Khanna: Okay. And I appreciate that. And just one follow-up. Darius, how do you keep the potential spin curves [ph] kind of focused ahead of a spend, what kind of -- just to make sure that everyone keeps running the bond [ph], I think as distracted as they move into that -- into the new world on the run?
Darius Adamczyk: Yes, I mean I think both through sort of our attention, we do these -- as our business before and after the spin, I mean we want to make sure that these are incredibly successful. We have very focused management teams in both the spins businesses. They are doing a great job in running their businesses but also getting ready for the spins. I am very confident that the teams in those businesses are focused on delivering now, and after the spins take place. So, I think there is also proper incentives that are aligned to the success before and after the spin is well, which we have taken care of and put in place.
Thomas Szlosek: Gautam, this is not an effort that’s being done in some far-flung part of the company. The team, the spin code team is executing on the transactions, actually reports into Darius and I directly. We do involve the business as being spun. But we want them focused for the most part on executing on their operating plans. And that’s the way we’ve structured. The 2 objectives of the spin team are, one, day 1 readiness for those organizations and we have a very strong cadence and operating system around that in terms of systems, in terms of people and staffing and doing all the regulatory filings and so forth. So that’s very rigorous. Secondly, its stranded costs, and with 20% of the revenues from the remain co [ph] going with the spin, we need to right size the company. And so that SpinCo leadership team also is in the process of managing that cost structure. So, Darius and I get regular weekly visibility to it. We put on some of the most senior people in Honeywell to do this and we’re encouraged by the progress we’re making.
Darius Adamczyk: And I think just add to it, we have a full blown, what we call de-integration team, which is staffed by senior leaders, whose full-time job is nothing, but the focus on making certain that we have a successful spin in place and execute the business in the near-term. So, we have the right level of focus on this.
Operator: Our next question comes from Peter Arment with Baird.
Peter Arment : Just a quick one, sticking on the aerospace. Obviously, the United Airlines selection was certainly very favorable for you guys. But just kind of talking about the competitive landscape. We’re months into this deal with one of your bigger competitors, certainly the headline reads that it would be more competition for you. But at the same time, seems like there is going to be a lot of opportunity. What are you guys hearing in terms of your sense of post this merger that you will see other opportunities for growth?
Darius Adamczyk: Yes. I mean, Peter, we haven’t been really focused on the merger of others, I think what we’re really been focused on is executing our strategy. I continue to be extraordinarily excited about our division for connected aircraft. I think it’s been just relating, it’s reflected in our rates, certainly been a factor in the United win, and we’re getting more and more traction every day. And I feel good, because we have. If you think about the real estate in the scope on an aircraft, we have the avionics, and we have the mechanical systems and we have an integrate plan and integrate our offering. I think we have a very compelling vision for the kind of value we can create for aircraft owners, maintainers, passengers, pilots, create a more efficient, more safe experience for everybody. And that’s not visionary, that’s not a dream. That’s something that we’re executing, selling and generating revenue in today. And we feel that’s a very unique place to be in the aerospace industry and frankly we are the only ones that are executing it. I think probably our biggest opportunity or challenge at the same time is just being able to communicate that clearly and add value to end customers. But as you can tell by some of these wins, we’re doing that more and more effectively.
Peter Arment : Okay. That’s helpful color. And just a quick one Tom, on the sensitivity around for your defense business with the CR impacts. How do we think about that? Is there any near-term impact or what's the right way to think?
Darius Adamczyk: Well thankfully we got another reprieve. It's kind of one of those things that’s more timing than anything else. There is a slight risk at volumes pushout depending on shutdown and so forth. But I think we're -- I don't think we are anticipating any significant adverse impacts from those activities.
Operator: And our final question comes from Andrew Obin with Bank of America.
Andrew Obin: Hey. Just a question, the focus on economy was all in the U.S. but European macro metrics actually looking better than the U.S. right now so is China. Can you just talk about what you guys are seeing in Europe and what you guys are seeing in China and other emerging markets? And specifically, on China, if you're seeing any signs of deceleration? We have getting a lot of questions from investors on that?
Darius Adamczyk: Yeah. We're extremely bullish on China. It was an absolutely terrific year for us in China. Being close to 30% organic growth rate in China last year and it could be a slight down tick from that rate maybe. But we continue to see double digit and planning on double digit growth rate in China for us. So, we're bullish there, and that was every business. Every business grew and I think really kind of figured out the calculus as to how to be successful in China, acting like a local company. Our whole value chain now is localized. And the great news and the one that I'm really excited about is we make similar progress in India. So, I think we're really firing on all cylinders in China and India. Back to your Europe question, we're also bullish on Europe. Europe it's continued to grow we're seeing growth in Western Europe not seeing a lot of trouble spots here. So, as we head into '18 as I said, I continue to be bullish on a global basis in terms of our prospects for growth. So overall strong environment.
Andrew Obin: And just to follow up on your Aero '18 outlook. You said on the call that none of your businesses are going to be negative but just sort of these one to three growths does imply that perhaps commercial OE is negative on the wide body deliveries. How should I think about sort of subsegments within Aero?
Darius Adamczyk: Well, I think number one is that aftermarket in the services business are going to continue to be strong both through sort of what I call the proactive segment as well as the great fix. We talked about the business jet OE which is -- our plan is that as acceleration as we get deeper into the year. And on the narrow bodies, obviously this is going to be really aggressive growth for our customers. so that's sort of a rough framework that we're planning for in 2018.
Andrew Obin: So not all of that within your framework, not all the subsegments are negative into '18?
Darius Adamczyk: No. And on the OE side, we'll continue low-single digit kind of growth all in. is the plan. I mean that could change quarter-to-quarter and very quarter-on-quarter based on customer delivery schedules. But I think we're planning on an overall commercial OE growth rate in that range.
Andrew Obin: So just similar level conservatism across your guidance. Thanks.
Operator: And that concludes today's question-and-answer session. At this time, I would like to turn the conference back to Mr. Darius Adamczyk for additional closing remarks.
Darius Adamczyk: Thank you. We’ve begun 2018 with significant momentum including strong order rates, a growing backlog and favorable US tax legislation. We are excited by our prospects both in near term and long-term as Honeywell continue to outperform. I am looking forward to speaking to you next at our annual investor conference on February 19th here in Morris Plains. Thank you.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day.